Operator: Good day, and thank you for standing by. Welcome to the Commvault Fiscal 2024 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Mike Melnyk, Head of Investor Relations. Please go ahead.
Mike Melnyk : Morning, and welcome to our earnings conference call. I'm Mike Melnyk, Head of Investor Relations, and I'm joined by Sanjay Mirchandani, Commvault's CEO; and Gary Merrill, Commvault's CFO. An earnings presentation with key financial and operating metrics is posted on the Investor Relations website for your reference. Statements made on today's call will include forward-looking statements about Commvault, future expectations, plans and prospects. All such forward-looking statements are subject to risks, uncertainties and assumptions. Please refer to the cautionary language in today's earnings release and Commvault's most recent periodic reports filed with the SEC for a discussion of the risks and uncertainties that could cause the company's actual results to be materially different from those contemplated in these forward-looking statements. Commvault does not assume any obligation to update these statements. During the call, Commvault's financial results are presented on a non-GAAP basis. A reconciliation between GAAP and non-GAAP can be found on our website. Thank you for joining us. Now I'll turn the call over to Sanjay for his remarks. Sanjay?
Sanjay Mirchandani: Thank you, Mike. Good morning. I'm pleased to report our Q1 results met our expectations and position us well for fiscal year 2024. Let me share some highlights. Total ARR, the metric we use to measure the growth of our recurring revenue streams, increased 15% year-over-year to $686 million. Our subscription ARR grew 32% year-over-year to $500 million. Metallic, our hyper growth SaaS platform grew ARR 72% year-over-year and now exceeds 4,000 customers. All of these showcased the strength of our subscription-based recurring revenue model that we've been driving to over the past several years. And we did it while delivering 22% EBIT margins and continuing to return cash to shareholders through share repurchases. Our strategic objective is clear: to be the leading cloud first data protection company in the industry. This requires constant innovation, execution excellence and the ability to rapidly evolve with the ever-changing data protection market. Our customers have reached inflection driven by 4 major forces that are shifting the data protection demands and expectations of the modern enterprise. One, they're experiencing unique and complex challenges on their hybrid cloud journeys. Two, customers shouldn't have to choose between a software and SaaS. At this point, it should be a natural and seamless decision with a modern unified platform. Three, the world of data protection and data security are converging and require customers to consider a new approach. And lastly, the advancements in artificial intelligence have opened the door to improved customer experiences and increased value. Let's discuss each of these. The first and perhaps most important is the industry-wide move towards the hybrid cloud. According to a recent report, 82% of IT leaders say that they have adopted hyper cloud, nearly half of which are embracing multiple public clouds. As a result, data is distributed across multiple environments. It's fragmented and in flight. Managing this new reality can become untenable in cost, complexity and security delivered at scale. To manage all of this, today's hybrid enterprises are doing nothing at all or a patchwork of anything from basic cloud native backup to point solutions. Some SaaS, some software, each intended to solve a piece of the puzzle. Rather than holistically simplifying and managing everything, this only increases more complexity and cost. This is where Commvault comes in. Which leads me to the second major force. Customers create the power and simplicity of a single as-a-service solution. Today, customers are forced to make on natural choices that are inefficient and unsustainable. Instead, they need the best of both software and SaaS in a single solution. Our cloud-based data protection platform does just that as software or SaaS on the same control plane. Not only do we help customers reduce complexity, our unified platform has the best total cost of ownership and greater value than any solution that we compete against, cloud native or software. This is revolutionary for the industry and positions us as the company to beat within the category. And both existing and new customers are embracing this technology. I'll discuss 3 examples. First, we won an M365 deal with Netcare, a publicly traded South African health care company. The company cited the simplicity and cost efficiency of our single platform versus the existing cloud native solution as the key decision-making criteria.  Second thesis, a SaaS-based student learning system chose Commvault to drive 6-figure cost savings versus its cloud native tools. Third, a Fortune 1000 food manufacturer and an existing Commvault software customer expanded with our SaaS solution to protect thousands of Office 365 users. With each of these customers, we were the natural choice, given our proven mission-critical capabilities, our ability to operate between technologies and workloads our cost advantages and our capability to accommodate future cloud use cases on our platform. These examples are consistent with the trends we've seen every quarter since the launch of our SaaS platform. 40% of our SaaS customers use another Commvault product and 30% use multiple SaaS offerings. Software and SaaS are complementary and accretive to our business, which brings us to the third course. As a line between data protection and data security players, customers are rethinking their approach to modern cyber resiliency. Ransomware threats are on the rise again in 2023. Data from cryptocurrency trading firm chain analysis indicates cyber ransom payments, more than doubled in the first half of 2023. And a report by Cybersecurity Ventures, Note that cybercrime will account for $10.5 trillion in costs by 2025. Of course, ransomware is only part of the modern era of pervasive autonomous threats in conjunction with other malicious data exfiltration and data destruction activities. This is increasingly driving the need for a layered security approach that includes predictive threat analytics to defend both backup and production workloads and ironclad cyber resilience in the case of a breach. No amount of preemptive defense can take the place of unfailing rapid recovery and no amount of security is 100% successful. The two must operate hand in hand. Building on the early success of our Threatwise Cyber Deception offering. In June, we offered new security capabilities across our portfolio. These were designed to help customers proactively and reactively secure defend and recover their production workloads while strengthening their backup infrastructure. These advanced security features are managed and delivered through the simplicity of our new cloud command interface, which provides global visibility and smart insights across all workloads, monitoring backup health and security posture. We also expanded our security ecosystem to include product integrations with Microsoft, Palo Alto, [Central One] and CyberArk. While others in the industry provide limited point solutions, Commvault offers a platform that protects and enables customers to recover both production and backup environments. Finally, the fourth force impacting data protection is the topic that's driving an unprecedented frenzied adoption of AI across every enterprise. The rise of generative AI is ushering in a new era, one that is increasingly automated and autonomous and moving faster than one can imagine. We've been using AI and machine learning for years in our technology and our operations. Further leveraging AI-driven automation across our platform, we can help customers rapidly recover and also constantly optimize manage and control every aspect of their data protection capabilities. We're continuing to incorporate AI-based road maps across our offerings, and we'll take a very considered point of view around the right way to apply this new technology as it matures. Our organization's secure, defend and recover their most precious asset, the data, is fundamentally changing these forces. The bottom line is we can no longer look at each separately. The future of our industry depends on our proven ability to offer a seamless automated and cost-effective approach to these hard problems. In the fall, we'll be announcing some exciting capabilities and offerings that will further empower customers and redefine the industry. With that, I'll turn it over to Gary to discuss the numbers. Gary?
Gary Merrill : Thanks, Sanjay, and good morning, everyone. Coming off a strong finish to fiscal year '23, we are off to a solid start to fiscal year '24. As a reminder, we have recast our P&L presentation effective this quarter, which is led by our term license software and SaaS offerings, which are now approaching 50% of total revenue. The revenue from these arrangements is referred to as subscription and combining them in a single line item allows the investment community to have an enhanced understanding of our results. Our fiscal Q1 results were driven by 11% year-over-year growth from our subscription business, which increased to $97 million as a result of the accelerating contribution of SaaS revenue. Q1 perpetual license revenues were $13 million. Our go-to-market motion is led by subscription. So perpetual license sales are generally sold in certain verticals and geographies. Q1 customer support revenue was $77 million, which includes support for both our term-based and perpetual software licenses. The year-over-year decline was in line with our expectations. As a result of the cumulative impact of the strategic conversion of certain perpetual customers to our subscription offerings. Moving from revenue results to ARR now. Total ARR in Q1 was $686 million, an increase of 15% year-over-year, outpacing our annual growth expectations. In Q1, subscription ARR, which includes both term-based arrangements and SaaS contracts grew 32% year-over-year to $500 million, crossing a major milestone and nearly doubling over the past 8 quarters. As Sanjay noted earlier, SaaS ARR continued its strong growth, up 72% year-over-year to $113 million. SaaS net dollar retention for Q1 was 118%, with our SaaS offerings being a primary driver of customer expansion. Now I'll discuss expenses and profitability. Fiscal Q1 gross margins were 82.9% and reflect a 70 basis point year-over-year impact of our accelerating SaaS revenue, which carries a higher cost of sale than software. Fiscal Q1 operating expenses were $119 million, down 3% year-over-year. We ended the quarter with a global head count of approximately 2,800 employees, including additional inside sales reps we onboarded during the quarter to drive our velocity SaaS motion. We are managing our people, facilities and third-party expenses by focusing investment on our most critical resources. We will continue to evaluate our resource base against the market demand environment. Non-GAAP EBIT for Q1 was $44 million, and non-GAAP EBIT margins were 22%. The strong earnings result was driven by continued operating expense discipline relative to our top line revenue. Moving to some key balance sheet and cash flow metrics. We ended the quarter with no debt and $275 million in cash, of which $81 million was in the United States. Our Q1 free cash flow was $38 million, up 76% year-over-year. Key drivers of free cash flow, our deferred revenue from SaaS and the strength of our subscription software renewals, which typically include upfront payments on multiyear contracts. In Q1, we repurchased $51 million of stock under our repurchase program, representing 135% of Q1 free cash flow. Now I'll discuss our outlook for fiscal Q2. We continue to believe that ARR and free cash flow should be viewed as primary KPIs of our underlying business momentum. For fiscal Q2, we expect subscription revenue, which includes both the software portion of term-based licenses and SaaS to be $95 million to $99 million, representing 24% year-over-year growth at the midpoint. We expect total revenue to be $193 million to $197 million, with year-over-year growth of 4% at the midpoint. At these revenue levels, we expect consolidated gross margin to be approximately 82.5% and EBIT margin of approximately 20%. As I mentioned on our last earnings call, we are executing some foundational go-to-market changes, which include amplifying our discrete focus on our land and expand opportunities while also scaling our motion to secure our growing subscription renewal base. We continue to hire additional inside sales reps focused solely on the SaaS velocity market as we refine our segmentation model. Some of these investments will continue into fiscal Q2, and we expect that these go-to-market refinements should drive enhanced field sales productivity as we exit the fiscal year. Our projected diluted share count for fiscal Q2 is 45 million shares. As of June 30, we have $205 million remaining on our existing share repurchase authorization. We expect to continue with our existing practice of repurchasing at least 75% of our annual free cash flows. Finally, as noted on Page 2 of this morning's earnings press release, we are also reconfirming our existing guidance for all provided metrics for the full year fiscal '24. We remain confident in our full year outlook given the ongoing momentum in our SaaS business and the seasonally stronger trends we historically see in the second half of the fiscal year, including a larger term software renewal opportunity and potential for improved large-deal traction. I will now turn the call back to Sanjay for his closing remarks. Sanjay?
Sanjay Mirchandani: Thank you, Gary. Our customers are facing hard problems as they modernize their data protection approach across a hybrid cloud environment, our ability to offer them a streamlined unified approach that is powered by AI will be a welcome change and a true differentiator in our industry. We're the only company with a tested track record, vision and proven execution to deliver this value at scale. Now we'll take your questions.
Mike Melnyk: And for the -- to begin Q&A. Can we take the first question, please?
Operator: [Operator Instructions] Our first question comes from Aaron Rakers of Wells Fargo.
Aaron Rakers : A couple if I can, real quickly. I'm just curious, guys, congrats on the execution in the quarter. Just given the current macro backdrop and the spending environment that some are concerned about with regard to enterprise. I'm just curious of how you would characterize the linearity through the quarter, deal activity? Any kind of deals shrinking in terms of size or any push outs? And just kind of -- overall kind of context of what you're seeing from enterprise customers spend wise right now?
Gary Merrill: It's Gary. I can take this question. So our linearity from a fiscal Q1 perspective is what we typically see in our fiscal Q1, some of the macro trends that other companies have mentioned, we're obviously also experienced. But we have not seen, from a linearity perspective, the impact on that. I think we were consistent with some of the recent trends in the market is the deal size value, okay? We do see some pressure on the ASPs of our larger deals. And most of that is driven really by term length, okay? So the quantity of the deals and the volume of the enterprise deals is still strong. It's still actually consistent with even year-over-year levels. But what we do see a little bit of a downtick in the ASPs on compression of term as customers are continuing their journey to the cloud, right? They continue to focus on optimization of the workloads that they have and being able to make sure that they're ready for their next turn. And with some of that, they take a little bit of a step back and some of the deal size lengths start to compress a little bit. Our average length of our term deals in fiscal Q1 was about 2 years.
Aaron Rakers : And just to give some context, that was any -- what was that last quarter? What was that a year ago?
Gary Merrill: Yes. We're down -- our average term on our subscription deals is down about 10% year-over-year. And it's mid-single digits decline sequentially.
Aaron Rakers : Yes. Yes. That's helpful. I appreciate all that color. As a quick follow-up, I'm just curious, one of the things that we've thought about on the Commvault story as we moved into fiscal '24 was just -- this base of renewal opportunity setting itself up and really comping relative to what the subscription revenue looked like 3 years ago or so. Can you help us appreciate the cadence of the renewal base of business through this year? And it sounds like a potentially a pretty material step-up into the back half of the year when we look at the metrics you're giving around renewals and net dollar retention, et cetera, just help us frame that.
Gary Merrill: Sure. Aaron, I can touch on that also as well. The renewals in our business typically follow the linearity that we typically see across the broad portfolio of our go-to-market motion, which means that we'll see a higher renewal value in the second half. So that goes for both renewal opportunities and conversion opportunities. we'd expect probably about 60% in the second half versus relatively maybe 40% roughly in the first half. And some of those -- the term length discussion I had on your previous question applies to the renewals. As some of our renewals also see some of the -- those things change in dynamics on term length as well.
Aaron Rakers : Yes. And then the final question, and I'll cede the floor, is you beat operating margin this quarter, 22%, I think you guided around 20%. I know you're guiding around 20% this next quarter. So appreciating that you gave the full year -- reiterated the full year guidance of up 50 to 100 basis points year-on-year. I'm just curious to how you're thinking about the flow-through of operating margin. Is there incremental investments you're making relative to what you thought of coming into this year, why wouldn't we see some upside to that $50 million to $100 million continue to flow through as we think about the back half of the fiscal year as well?
Gary Merrill: Aaron, at this point, we're keeping our guidance for the full year for all the reported metrics consistent, there's obviously opportunity for operating margin leverage and expansion, especially as the top line accelerates, which we'd expect some of that to happen, as I mentioned, more in the back half. So where I'm sitting here today is that fundamentally, all the core tenets of our business are consistent, and we're confident in where we're at for the first half. And I think maybe revisiting where we're at, exiting Q2 for the back half is what we'll look to do.
Operator: Our next question comes from Howard Ma at Guggenheim Partners.
Howard Ma : I have a question for Sanjay and also a question for Gary. I guess I'll start with Gary. It's actually two questions. I mean the first is a shorter one. But I guess I'll start with -- can you address the reason for the Metallic net retention rate dip, it was down by 7 percentage points versus last quarter?
Gary Merrill: Thanks for the question. So don't -- we don't look into 1 quarter as a trend for the long term for Metallic. When you look at the net dollar retention, at 118%, we still believe it is a strong result and it's still driving a lot of expansion. Typically in the net dollar retention calculation, right, the base gets bigger and bigger and bigger, which also contributes to it. So that's good. So we have a growing base. So therefore, you'll start to see the calculation kind of moderate in kind of in that 118% or so. But from an actual expansion opportunity, we're really pleased with where we're at to be able to grow off that. We're now approaching 4,000 Metallic customers. So the ability and the opportunity for us to drive that number through that 4,000 customer base is an amazing opportunity that we look forward to kind of driving in the second half.
Howard Ma : Okay. That's fair. And my second question, it's related to what Aaron was asking, can you just talk about, Gary, the key underlying assumptions that give you confidence in achieving total and subscription ARR guidance this year? And as we model out the balance of the year, can you just talk about any notable year-over-year comps? So you mentioned the back-end weighted -- or the second half weighted renewal cycle in response to Aaron's question. Can you also talk -- is there anything else we should look out for? For instance, I know fiscal 3Q is probably an easier year-over-year comp this year. But just anything else with respect to subscription or Metallic.
Gary Merrill: Yes. A couple of things, Howard, I can touch on. So first, before I get to the second half, even by looking to the current quarter, we're in fiscal Q2, typically, that's our seasonally soft this quarter, especially in Europe. But as we start to look at the second half of the year, we're still confident in the opportunity -- in the guidance that we gave for the second half. If you look at that subscription revenue line each quarter, we get a nice tailwind of recognized revenue from SaaS. So the predictability of our subscription revenue starts to firm up every single quarter because a larger portion of that becomes SaaS revenue, which is the amortization of the ARR. When I take that, Howard, and I tie it to seasonally stronger, especially on the large deal expectations on the term license software that we typically see in the second half. All of that still contemplates all of the kind of macro trends we currently see today. We haven't seen anything substantially worse since I gave guidance roughly 90 days ago. So we're still confident in kind of what we see. The only really, I'll say, notable change that we're seeing some modest change in is the term line, which I already addressed. But despite that, we're still confident in those full year numbers.
Howard Ma : Okay. That's helpful. And for Sanjay, can you just talk about where Commvault is in with respect to the go-to-market evolution and if investments such as -- you've -- you've built out a dedicated inside sales force for Metallic. You have expanded partnerships with Salesforce and AWS and not to mention your exclusive relationship with OCI, are these already starting to benefit Metallic? Or are these additional legs of growth to come?
Sanjay Mirchandani: Little of both. So these are investments. They are fueling up multiple engines of growth for Metallic. Traditionally, our salesforce has carried the bag for Metallic alongside our partners. We're seeing great progress with the large hyperscalers on go-to-market across the world actually. And we are also building out our own velocity inside sales engine as one of the other engines. So they're all coming together nicely in different stages. And we think over the course of the year, you'll see us share more about how these are working and coming together. So it's a strategy we set, I think, late last year, fiscal year, and we're rolling it all out as we speak. So we're quite pleased with where we are. .
Operator: Our next question comes from Jim Fish from Piper Sandler.
Jim Fish : Gary, for you, with going through the transition, I know we've talked about this at great length, but where are you with perpetual maintenance contribution? And really, the crux of my question is when you expect perpetual maintenance to be the minority in the sense of ARR and revenue trends start to converge as opposed to the large divergence we have this year? And is there any way to think about what you're seeing with perpetual maintenance renewal rates versus this point last year?
Gary Merrill: Yes. Thanks, Jim. I can handle that. So a couple of different pieces, I'll talk to you first, and I'll get to your specific question on revenue. But first, if you take a look at ARR, that we're now up to well over 70%. We're approaching 75% of our ARR from perpetual from the nonperpetual base, so from subscription and SaaS. So you can see we're making excellent progress there. When I translate that to the P&L, and specifically how that gets reflected into that customer support revenue line, okay? A larger portion of that continues to be driven by subscription. And if I kind of take a step back and can maybe quantify that for you. About a year ago, I would say about 70% of our customer support revenue was driven from perpetual contracts. That's now down to 60% a year later. So we're driving a minimum of about 10 points change in that balance. So I think where you're going is as we kind of roll that forward a little bit over the next 1 to 2 years, we'll start to see that subscription to be the primary driver and more than the majority of what's driving that. some of what you're seeing, Jim, if you look at kind of the year-over-year growth of that customer support line, you see it kind of start to moderate, right? It's kind of in line with the expectations of that customer support line, but it's starting to moderate with the annual decrease that we're starting to see on a quarterly basis.
Jim Fish : That's very helpful. And Sanjay, for you, how the new marketing campaign has gone in terms of building net new pipeline? And is there any concern around the Office 365 competitive environment that you have some of your competitors out there being aggressive on price or even Microsoft coming in and just one day kind of bundling it into, say, like an E5 or E7 or whatever they want to come up with at that point?
Sanjay Mirchandani: Well, we -- Jim, hopefully, you've seen our new marketing campaigns, and we're a lot more bold, up for direct. It's been having some great impact on the funnel and the pipeline. We're getting -- and it's bringing a lot of hits to our freemium sort of SKUs on Metallic, it's working the way we want it to. And there's a lot more visibility around what we do. So overall, in our new approach with marketing, we're very pleased and the impact is starting to have. There's a lot of excitement there. On Office 365 specifically, I think you're referring to Microsoft's recent announcement on some archival capabilities, of which we're part. It's more of a platform kind of announcement. It legitimizes the need for Office 365 backup, which for the longest time, customers were made to believe they didn't need it. And what they really need is a life cycle of data management on one of the most used apps in most enterprises. So we have -- we believe we have the best approach to that, the best solution there. Competitive pressure has always been there. and it's not a pricing. It's also important for customers to understand where their office data is written to, so you could get a service that looks like ours, but the data is written to some cloud, you don't know or to some data centers, you don't know. Ours is end-to-end, all the Office 365 is end-to-end on Azure and everything that comes with that. So we -- it's a value proposition. We think we've got a great value proposition. It dovetails wonderfully with our software capabilities, which is important for customers. It's not an island to itself. And we have competitive SKUs.
Operator: Our next question comes from Eric Martinuzzi from Lake Street Capital Markets.
Eric Martinuzzi : Yes. Sanjay, just curious on the outlook geographically. As we look at Q1, the America is roughly flat, international up about 1%. Are we looking for any change in that based on the full year guide? Is that -- would we still see for roughly similar growth rates for the 2 different geographic segments?
Gary Merrill: Eric, it's Gary. I can jump in and handle the question on geographic. Yes. So the performance overall for fiscal Q1 was roughly the same. The Americas, as you stated, was roughly flat year-over-year. International was up 1% year-over-year. Within international, relatively though, we're seeing stronger results throughout Europe relative to Asia Pacific. As I think about trends geographically into the second half, I would expect a little more growth out of the Americas. As a lot of the renewal opportunity we have, right? We have a much higher renewal opportunity in our subscription software business, which gives us some of that transparency into the opportunity in the second half, but much of that is concentrated in the Americas hub region.
Eric Martinuzzi : Okay. And then you talked about continued investment in sales into Q2. Can you give us some specifics there as far as the number of reps that we currently have and how many more we plan to add in Q2?
Gary Merrill: Yes. So Eric, if I think about some of the work that we're doing within go-to-market, it's really driven around that discrete focus that we're trying to provide in our business and trying to build and enhance new routes to market. So much of what we're doing is reallocation of resources through the business to provide that discrete focus tied to 3 key areas. One is driving net new land and expand business. And second is continuing to secure our renewal motion. And the third is building out that velocity motion solely dedicated on SaaS. So if we think about where any incremental, I'll say, net new investments are primarily coming from, it's primarily coming from the third, as we build out that inside sales motion to drive that velocity piece of the market dedicated to SaaS. So all of that is reflected within the guidance. Much of that happened during fiscal Q1. And there's just some final pieces that will move towards into fiscal Q2.
Operator: Our next question comes from Jason Ader at WB.
Jason Ader : Yes. Thank you. Sanjay, can you give us just a quick competitive landscape and market share update both for the enterprise side of the data protection market and also the mid-market?
Sanjay Mirchandani: Yes. So it's -- from a competitive point of view, I shared some of the direction that we were taking, where the forces we see in the market and how our portfolio lines up very uniquely, where customers are headed and the hard problems they have. Over the course of the past couple of quarters, we've done a few things that are that are separating us in the short term very well. So I'll give you an example. The -- we launched a support for data domain -- boost on data domain, which is -- which gives us incredible performance in that installed base, and that's a large installed base. And we're seeing a lot of good traction, for example, in that, okay? That's just one example. We're also seeing some of our competitors struggle in a tough macro environment, okay? We've always been focused on responsible growth, and we'll continue to. We continue to innovate. We continue to streamline our go-to-market. We've ramped up our marketing. And we're definitely taking share in SaaS. It's white space. We're growing there. And I think as the platform goes with the new security enhancements that we've put out, nobody does what we do. And now coming in the fall, we've got a whole bunch of new capabilities that we're bringing to market based on customer input. So we feel very well positioned technically. And I'd say, over the last couple of quarters, we're definitely taking share from some of the more legacy players.
Jason Ader : Who do you run into the most in the enterprise? And then who do you run into most in the mid-market today?
Sanjay Mirchandani: I mean it's never clear -- it's never just -- nobody else there. It's always competitive. You see the usual suspects. And as -- and in the mid-market, we're also starting to get some good penetration with Metallic. And so we're seeing some of the smaller players, niche players there. It's the usual suspects.
Jason Ader : Okay. And then, Gary, for you, just -- did you provide any guidance on customer support -- the customer support line for FY '24?
Gary Merrill: Yes, absolutely. The trends that you see from a customer support line will continue into Q2 and into the back -- into the back half of the year. I would expect that the customer support line will be down on a year-over-year basis for full year FY '24, somewhere in that mid- to high single-digit range from year-over-year, which is kind of where we're currently trending now though. I think one of the things that's important and it follows up, I think one of the questions that Jim had asked about that customer support line is that is we're quickly approaching where the majority of that line will become subscription revenue related from a customer support and not perpetual. And currently, we're about 60% is perpetual. I think we'll get to close to 50-50 by the end of the year or early next fiscal year, which then helps over the longer term actually to moderate that line and some of those declines will start to fade away.
Jason Ader : Okay. So just to be clear, when you do a term license, that's a subscription, you separate out the support part from the software and that goes into customer support. Is that the right way to think about it?
Gary Merrill: Confirmed. Yes.
Sanjay Mirchandani: Jason, it's Sanjay again. I just wanted to add one more thing. One of the things we're getting some lift from is vendor consolidation. As customers sort of look at spend and commitments and what they've got in the installed base, they're looking to consolidate. And we're a great consolidator in that space. Also, as data security spend and data protection spend come together with -- in this environment, the TCO equation, we win. And so those are some of the trends we're seeing that are assisting giving us lift as we take share. I mean just one data point with Metallic, we've exceeded 4,000 customers. That's a customer acquisition machine. And so we are taking share. And if you think that 60% of those customers are new to Commvault and 40% of those customers very quickly have another Commvault product that is not SaaS, you see the stickiness of what we've got there.
Jason Ader : Got you. So 60% of the 4,000 or net new --
A –Sanjay Mirchandani: Roughly net new to --
Operator: I am showing no further questions at this time. I would now like to turn the conference back to Sanjay Mirchandani, President and CEO, for closing remarks.
Mike Melnyk : Thanks, Amber. This is Mike Melnyk, Investor Relations. Thanks for joining today. As a reminder, all our earnings materials are available on the Investor Relations website, and feel free to reach out to us for any follow-up. Thanks for joining, and we'll speak to you again in the fall.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.